Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Atos Full Year 2019 Results Conference Call. At this time all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I must advise you that our conference is being recorded today, Wednesday, the 19th of February 2020. And I’ll now turn the conference over to your first speaker today, Elie Girard, CEO. Please go ahead, sir.
Elie Girard: Good morning. I am very glad to be with you this morning for the presentation of our 2019 full year results. I am going to share this presentation with Uwe Stelter, our Group CFO, who some of you already met during road shows and conferences. Eric Grall, our COO, is also here and will answer your questions. I will start with the highlights of the year and we‘ll disclose what our objectives are for 2020. Uwe will present you the financial performance, and I will conclude before opening the Q&A session. Let’s start with the highlights of the year. 2019 was a robust year where a lot has been done. Let me just try to summarize here the most important elements. When we started the year, one of our big challenges was to take both Infrastructure & Data Management and North America back to growth in H2. Indeed, I committed to this when we made our Investor Day in January 2019. Eric Grall and Simon Walsh presented the plans back then, respectively, on IDM and North America. The deep reorganization we operated in North America, notably in sales, resulted in large signatures, allowing to return to growth in H2. IDM also came back to growth in H2 in North America as well as globally. Still in IDM, we developed the partnership with Google Cloud, and we just finalized the acquisition of Maven Wave in cloud transformation, which is a good example of the bolt-on acquisition program that we are implementing. In Business & Platform Solutions, the integration of Syntel is underway, delivering synergies as planned. Uwe will comment in more detail. But I have to say that the pipe of opportunities of cross-selling is very promising either on B&PS side or on IDM side. Nevertheless, for the division in total, while revenue was roughly stable on a full year basis, it was slightly down in H2 as we faced a slowdown in Financial Services in North America and as the business became more difficult in Germany in the automotive industry towards the end of the year. Big Data & Cybersecurity delivered a strong revenue growth in all its business segments and, in particular, in High Performance Computing and in Cybersecurity services. In this context, we had a very strong growth in Q4. The acquisition of IDnomic in digital identity management and PKI solutions is another good example of a bolt-on acquisition. Commercial dynamic was positive in Q4. We ended the year with a strong 121% book-to-bill, leading to 106% full year. We renewed all our deals above €50 million, 11 out of 11. We signed several large deals in the U.S., in Germany and in the U.K. The group has been very active in corporate social responsibility with very high and numerous recognitions. We progressed in all our extra-financial KPIs. I will come back on it in a few minutes as it has to be considered now as a particular focus in our company. Finally, 2019 was, of course, the year of the deconsolidation of Worldline. We finalized earlier this month our disengagement by the sale of our remaining available shares. The group is now positioned as a pure player in digital, and we renewed our financial mobility to make acquisitions when opportunities are there. So as you can realize, we are starting 2020 in the exact configuration we wanted to achieve one year ago. Let’s move to the next slide with the key figures of the year. Full year organic growth was 1.4% and last quarter at 2.2%, a touch higher than expected, thanks to a very strong acceleration in BDS, which more than compensated the disappointing slowdown of B&PS at year-end. Order entry reached 106%, with a strong performance in Q4 at 121%, as already said. B&PS and BDS were solid. IDM recorded a decent performance considering that 2019 was a year with less contracts coming for renewal, especially in H1. Operating margin improved to 10.3%. It was 9.8% last year at same scope and same currency. We delivered a solid free cash flow at €605 million, mostly coming in the second half of the year. Normalized diluted EPS was €7.74, slightly increasing compared to 2018. Finally, total headcount was 108,000 compared to 111,000, one year ago without Worldline. We had several segments with increasing staff, but we also anticipated the effect of automation and artificial intelligence in several areas. As a result of this robust year, the Board of Directors will propose to the next AGM a dividend of €1.40 per share, maintaining a payout ratio at 29%, like last year, in the high end of the 25% to 30% range of our dividend policy. The option in shares will be offered as well. I would like to highlight some extra-financial figures as these indicators also drive the sustainable performance of Atos. In 2019, we have once more reduced our own carbon footprint, also contributing to the decarbonization of our customers. We emitted 21 tons of CO2 per €1 million revenue, 5% less than in 2018 and 24% less than 4 years ago. Not only Atos is already quite low versus competition, but on top, we are driving an even sharper continuous decrease. In terms of gender diversity, with 31% of women, Atos is in line with the industry after an increase of this KPI by 3 points in 4 years. In terms of recruitment, we have implemented, using artificial intelligence, a systematic removal of gender bias in our job offers. We accelerated again on digital training for Atos engineers with a record high number of digital certifications delivered in 2019, crossing the 50,000 milestone. Finally, we enhanced employee experience through our We are Atos program, reaching a higher level of engagement at 59% in our yearly all-employee Great Place to Work assessment, which positions Atos among industry best-in-class. Also, having two third of employees participating in this assessment is a very good achievement. Let’s move to the next slide. In Q4, we had a strong quarter on the commercial front. Our win rate improved by 5 points compared to last year in most of the divisions and geographies. Among the series of wins, I would like to comment three examples here of customers trusting us on new mission-critical scopes. First, at Swarovski, we won the full run of the whole SAP stack, almost 100 applications that we will manage on behalf of Swarovski with a hybrid delivery model on site, nearshore\ and offshore. Our consumer goods competency center in Sofia is clearly one of the assets which allowed us to displace existing incumbents, thanks to a deep industry functional knowledge. Second, Bayer. After trusting us in summer 2019 for their entire digital workplace space in Germany and then global, Bayer granted us in Q4 their worldwide managed security services, relying on Atos to build best-in-class measures to protect their digital environment while taking into account specific life science industry constraints. These two contracts represented roughly €400 million total contract value at Bayer. Third, the European Centre for Medium Range Weather Forecast. We won a large deal to implement the world’s largest supercomputer dedicated to climate monitoring. The unique scalability and artificial intelligence features of our systems will allow the agency to perform high-resolution weather forecast and to predict severe weather events significantly ahead of time. Throughout 2019, we have significantly strengthened and leveraged our key strategic partnerships. This is what you can see on the next slide. I start with Dell Technologies. We have achieved a further very good year in terms of business growth, both with Dell and VMware, with large hybrid cloud wins, embedding the new Atos Digital Hybrid Cloud innovations, as well as in digital workplace deals such as Bayer and BASF. With Google Cloud, we generated, thanks to the great partnership, over €600 million of bookings with deals where we jointly engaged. We won large to very large projects from data centers modernization to cloud, but also SAP migrations and AI development projects for our joint customers. I am very optimistic to further grow the business together with Google. Also, after the acquisition of Maven Wave, that brings another 350 Google Cloud experts to Atos and an impressive track record of large project deliveries. We have also enhanced partnership activities with both AWS and Microsoft Azure as our customers continue to embrace more and more multi-cloud strategy. We have won and generated a larger growing business now with the large three hyperscalers from Google to AWS and Microsoft. Last but not least, we see also a growing interest from them in embedding our BullSequana technologies to best serve their customers for high-end, in-memory server capabilities. Finally, we just announced a partnership with RingCentral to introduce a co-branded unified Communications as a Service solution. They become our preferred partner in this area, while we are now their first system integration partner to provide global cloud communications platform. Let’s move to the next slide. From a people strategy perspective, as announced 1 year ago, we put strong emphasis on talent attraction, on skilling and also on mobility across our business units. In terms of attraction, we strengthened in 2019 Atos visibility in universities, increasing junior hiring by 8%, and in social platforms, recording one third more visits on Atos career web page, in order to perform targeted skills recruitment campaigns on cybersecurity, 500 more hirings; cloud architects, 500 more hirings; or SAP experts, 600 more hirings. In addition to our targeted recruitment campaigns, we also reinforced in 2019 internal digital training programs in SAP, Cybersecurity skills and Google Cloud as very important examples. Thanks to these skilling programs, we were able in 2019 to fulfill 80% of business requirements of resources through internal mobility. On the next slide, you will see that in 2019, Atos has demonstrated excellence in terms of corporate and social responsibility, being recognized by all the prominent CSR ratings as a leader, if not the leader of our industry. Based on Atos DJSI and CDP Carbon Disclosure Project achievements, Atos has entered in 2019 the top 50 most sustainable companies in the world SEAL list, where we are the unique representative of our digital industry. I strongly believe that we have all the sustainability expertise which can be fully leveraged to help our customers decarbonizing their digital and business processes. In this respect, we have developed in 2019 a comprehensive portfolio of offerings, from the measurement of carbon impact of digital solutions to impactful decarbonization solutions. This portfolio has just been released and has already created huge customer interest. I will now turn to 2020 on the next slide and give you our guidance for the year across the same usual three KPIs. In revenue, our objective is to generate an organic growth of circa 2% after 1.4% in 2019. We ambition to increase by 20 to 40 basis points the operating margin rate versus 2019. And finally, a free cash flow at circa €700 million after €605 million in 2019. As usual, you will get a bridge from 2019 to 2020 in the financial part. Before giving the floor to Uwe, let me give you a flavor of what I’ve been initiating for the group lately. In the last few months, both in my former position as deputy CEO and now as CEO, my first priority has been clearly to meet customers and colleagues. When I say customers, I also mean prospects, of course, across all industries. I also met with partners, including those who can support us into industry-specific offerings. I’ve been meeting our people, our engineers across many sites around the world, reviewing very precisely our skill sets and our offerings. I also met extensively experts, internal and external, and the members of our scientific community. All my visits and meetings converge towards the same: it is the right time to launch an industry approach within the group. We prepared it throughout 2019, and I am convinced that it is now the right time to support our growth agenda. We launched SPRING through three axes: reshaping our portfolio of offerings industry by industry, redesigning our go-to-market approach around group of consultants and experts of each industry or sub-industry, and finally, setting up an industry-led organization. Therefore, on the next slide, and effective this month, we create six industries: Manufacturing, Financial Services & Insurance, Public Sector & Defense, Telecom, Media & Technology, Resources & Services, Healthcare & Life Sciences. And we also create five regional business units, the RBUs: North America, Central Europe, Northern Europe, Southern Europe and Growing Markets. On the next slide, you can see the accountabilities of the industries who will be in charge of the offerings, the go-to-market and the full P&L of their customers, and the accountabilities of the RBUs in charge of customer proximity and the full P&L of the geography as it is today. The divisions that you know through all the figures reported so far will move progressively to practices and centers of excellence. The practices will take care and be accountable for quality excellence and for cost competitiveness. In terms of reporting, Q1 revenue and H1 revenue and operating margin will be reported by industry and RBU. But in order to facilitate the transition period, Q1 and Q2 revenue of the divisions will also be still reported. In order to lead the transformation and, more generally, to lead the group with me, you can see here the names of the members of the Group Management Committee. They represent the industries, regional business units, the global operations and the support functions. Now moving to my last slide. In order to present in more details the group transformation, we will hold an Analyst Day on April 22 in Paris this year. You are obviously very welcome. Thank you for your attention. And Uwe, now the floor is yours.
Uwe Stelter: Thank you very much, Elie, and good morning. Hello, everybody. Let me start with the commercial activity of the year. The 106% book-to-bill reflected a dynamic commercial momentum in the year with much less contracts coming for renewal. The commercial activity was particularly high during the second semester in North America, benefiting from all the actions implemented in the last 18 months through the new management team. The commercial momentum was also solid in Germany, France and in Benelux & The Nordics. In detail by division, the book-to-bill in Infrastructure & Data Management was at 98%, fueled by large signatures; 111% in Business & Platform Solutions, especially led by projects in digital and automation; and 130% in Big Data & Cybersecurity, both in the High Performance Computing area but also Cybersecurity. The full backlog at the end of 2019 amounted to €21.9 billion, which is nearly 2 years of revenue, 1.9 years. The qualified pipeline is also strong at €7.4 billion at the end of December and slightly above Q3 and €500 million above last year. Backlog remained high. We have close to the 2 years of backlog, therefore, really a strong start into 2020. Now if we move to the financial performance of 2019 and the reconciliation between the statutory accounts and the organic figures for full year revenue and operating margin, then this was impacted positively by the exchange rate in revenue by €154 million and operating margin by €19 million, mainly coming from the appreciation of the U.S. dollar versus the euro. Scope effects amounted to €982 million for revenue and €154 million for operating margin. This is mostly related to Worldline; and the second point, on Syntel acquisition in 2018, with the full effect in 2019, plus the acquisitions of IDnomic and the disposal of some specific Unified Communication & Collaboration activities as well as former ITO activities in the U.K. and the disposal of non-strategic activities within CVC. The next slide shows you the performance by division. I’m commenting on the next slide, every division in a little more detail. But in a nutshell, the group achieved a year with an organic growth at 1.4%, accelerating in H2, including 2.2% in Q4. As expected and planned, the Infrastructure & Data Management returned to positive growth in H2, especially led by North America and achieved to stabilize the year at minus 0.6%. Business & Platform Solutions increased by only 1.9 - by only 0.9%. The activity was contrasted over the year with a first semester at 2.3%, while the division faced tensions in Financial Services in North America, as mentioned before, also the lower health care activities in Q3 and in the German automotive industry towards the end of the year. Plus, we had, as we mentioned before in previous calls, the reduction of low-margin contracts which we implemented in H1, which impacted the organic growth during the phase of the integration where we looked at the different contracts which are very low margin and discontinued them. The growth in H2 of Business & Platform Solutions was at minus 0.5%. Big Data & Cybersecurity recorded very strong growth at 18.3%, again, led by High Performance Computing and the Cybersecurity services. In terms of profitability, the operating margin improved from 9.8% to 10.3%, mainly thanks to the cost synergies materializing with Syntel, as well as cost-saving actions through the RACE program across geographies and the adaptation plan starting to yield results in Germany that we announced 1 year ago for 2019 and 2020. While IDM margin improved, as anticipated, and BDS contributed stronger, thanks to its high level of growth, B&PS profitability was impacted by a dimension tension in revenue. Now let’s look at a little bit deeper at IDM, Infrastructure & Data Management. The division managed, as we said, turned back to growth in the third quarter 2019 and continued on that positive trend, achieving 0.3% during the fourth quarter. Revenue share increased, especially in Cloud and Digital Workplace, but also in the Technology Transformation Services. The division continued the digital transformation of its main clients through automation and robotization, supporting the growth in several geographies, while we had some reductions in Germany and in the U.K. North America pursued growth in the fourth quarter and managed to stabilize over the year very strongly. In Financial Services, inside IDM, we posted actually a double-digit growth, mainly fueled by the ramp-up of contracts in the United States, notably with CNA, but also in the U.K. with Aegon, National Savings and with Aviva. In Telco, Media & Utilities, growth was happening, especially thanks to the BBC in the U.K., but also winning new logos with National Grid, both in the U.S. and in the U.K., and Entergy Corporation in North America, as well as ramp-up of contracts with Scottish Water and a Spanish mobile telco operator. Manufacturing Phase 1 contract not renewed in North America in 2018, which had an impact in 2019, and some reductions in activities in UCC in North America and Benelux. But otherwise, the manufacturing and retail sector benefited from the ramp-up of several contracts in North America. From an operating margin perspective in IDM, the margin improved by 40 basis points to 9.7%, driven mainly by the RACE program across all geographies, which focused on the automation and robotization, but also in the adaptation of the group workforce in several countries, mainly and particularly in Germany starting to have effect. In the U.K., the margin was affected by price reductions in our Business Process Outsourcing business in H2. Let me look now on the next slide to B&PS, Business & Platform Solutions. The revenue reached €4.2 billion. That is 0.9% growth over the year, with tensions in Financial Services in North America in Q3 and Q4, but also the lower volumes in health care activities in North America as the migrations activities in 2018, which were very strong, came to an end and didn’t repeat in 2019. The reduction of the number of low margin contracts implemented in H2 2019 at the time of transfer of contracts also had an impact in the Q3 and Q4 numbers. Besides the mentioned automotive tension, the rest of manufacturing actually benefited from an increase, both in application management services with Siemens, but also in S/4HANA engagements in Austria and ramp-up of contracts with Philips in Benelux & The Nordics and increased volumes in the U.K. In North America, besides the increase - besides the changes in Financial Services, we actually had improvements in the insurance market also in the U.K., where we won business with an insurance company in the U.K., but also in the Benelux & The Nordics. The situation was a bit more contrasted in the Public & Health market, which performed increasing activities in France through digital projects which we won, as well as new contracts in Italy and Iberia. But we saw as well, of course, in that sector, the decrease in the health care market in the U.S. The operating margin increased to 11.7%, so that’s 10 basis points better than in 2018, especially led by the North America and BTN, Benelux & The Nordics activities. Syntel started to contribute positively to the division margin improvement. And the operating margin improvement achieved in the first semester slowed down a bit in the second half due to the missing and mentioned top line effects. At this time, it would be good perhaps to look at the status of the Syntel synergies. As a reminder, we had three categories of synergies which we mentioned at the time of the acquisition. Number one, the sale of Syntel portfolio into Atos clients. We progressed in almost all of the targeted customers in Atos, the starting point in many of those being smaller projects which are growing over time. In the second category, which was to offer the combined portfolio to new clients, we won significant new contracts with Philips, but also with a health care provider in the U.S., contributing well to the revenue. And the third category is to leverage the Atos portfolio into the Syntel customer base. Here, first deals have started in the U.K., contributing to the synergies. All in all, we reached our expected $50 million run rate, which we anticipated on our path to reach $250 million after 3 years. And on the slide, you see two examples of those wins, one being in health care in the U.S. and the second being a Syntel customer in the U.S. as well, a global advisory firm where we could bring the combined portfolio to market. On the next slide, you see the status of the cost synergies. So in 2019, we achieved €35 million run rate cost savings, representing one third of the 3 year program. The main operational improvements came from increased offshoring and automation, but also delivery overhead reduction. In 2019, the effect of this run rate was €30 million. In there were €12 million of procurement and real estate savings which materialized in 2019. On the right side, you see also the focus of the Syntel delivery transformation on customer satisfaction through the Value-4-Client program, which paid off, and 76% of the combined customer base being promoters. On the next slide, I’d like to give you a quick insight into BDS. The revenue in Big Data & Cybersecurity was €1.050 billion, so strong growth of 18.3%, maintaining all over the year a strong performance and also, in terms of geographical spread and industries, was well within the strategy of this division. The main contribution of growth were large projects, one in France with [indiscernible], also a French research institute and a French ministry; but also in Germany, HRLN and Forschungszentrum Jülich; and in the U.K., the business with the European Centre for the Weather Forecast; plus in BTN, in Benelux & The Nordics, with CSC in Finland. The growth in Cybersecurity was led by new opportunities also in North America and, of course, with the good performance in BTN. As well, in mission-critical systems, there was a good growth and good momentum in Central and Eastern Europe. The operating margin of Big Data & Cybersecurity reached 14.2%, broadly stable with the 2018 performance. Profitability especially increased in the high growth units such as France, Benelux & The Nordics and in the Other Business Units. Solid profitability from operations allowed also to invest in R&D development of the offerings, especially in Cybersecurity, but also Big Data, to further fuel the growth. North America benefited from a favorable revenue mix, especially from new customers. Let me cover and go a bit to the geographical performance by global business units. So while North America shows on this chart a minus 2.3% for the full year, it was actually up in H2 and ended the year with a strong 2.7% growth in Q4. Infrastructure & Data Management achieved strong stability through the year in North America, and the turnaround plan of the North America management team is paying off in 2019. Germany is up 0.7%, especially thanks to the strong activity in Big Data & Cybersecurity. And also, Business & Platform Solutions recorded solid growth in this market. France grew by 3.5%, so a very strong growth, mainly fueled through the projects I mentioned before in Big Data & Cybersecurity. As well the U.K. ended H2 with a strong growth, getting the business unit for the overall year to stability, especially in the Big Data and High Performance Computing area. Benelux & The Nordics recorded 3% growth. Strong recovery in Business & Platform Solutions, which posted growth in H2, especially due to the contracts we won earlier in Philips and with an insurance company in this market. As usual, the Other Business Units continued a solid growth above 5%, especially in IDM and also in Business & Platform Solutions. Let me cover on the next slide an update on the RACE program. As you might remember, RACE stands for Road to Agile Competitiveness & Excellence, so our main productivity and margin improvement program. It started - RACE, of course, is a continuation of the TOP Program before. It started in 2019 and it has met its goals, especially, and I’d like to highlight a few items, especially in the area of further real estate optimization, which generated €25 million, also, the focus on auditing, billing and improving our rate of billing by €28 million; the workforce management improvement to actually reassign more than 300 people from bench and non-billable activities into billable roles; and of course, all the automation and digital initiatives around the program in IDM. We decided and the RACE program has extended to incorporate a few more programs, in total now 15. So we, of course, continue with those programs, which are very successful so far, and have added a few programs, especially on global supplier management to also drive savings through the supply chain, increase the automation especially with partners, including also closer cooperation with start-ups which can bring new concepts, new ideas to the table. And the other extension we implemented was the reduction also of energy consumption to improve our footprint overall in our data center and offices. On the next slide, on headcount evolution, I only like to cover - overall, you see the numbers went from 122,000 to 108,000. In there, of course, is the de-scoping of Worldline with 11,000, which you can see on the slide. Overall, the reduction, therefore, was about 1.9% on a like-for-like basis, mainly due to the automation and robotization activities. The attrition in the year was about 15% and the group hired 18,000 people, the majority of that in offshore countries, mostly in India. Let me come now to the income statement for 2019, starting with the operating income for 2019, which was €660 million. In the numbers, you see staff reorganization amounted to €100 million. The increase versus 2018 came mostly from the specific plan we communicated and launched in Germany beginning of 2019. On the rationalization costs, it’s pretty stable, more or less resulting from the continued focus and the closure of office premises and data center consolidation. And on the integration costs, the €41 million in here, mainly coming from Syntel. You see on the line amortization of intangible assets, which is mainly the PPA of Syntel. This €157 million is an increase of €67 million, mainly coming from Syntel. The equity-based compensation plans amounted to €73 million versus the €36 million the year before, mainly 2018 was lower due to lower performance in 2018 and, hence, the decrease of shares granted. In the other item line, which you can see, which moved up from €40 million to €125 million, that is actually due to two effects. One, the sale of the Worldline shares in November 2019. From an accounting standpoint, the book value of those shares were valued at the time of the distribution at €50.70 and the sale of the 14.7 million shares to the market and also the transfer of 403 million [ph] shares to the U.K. pension fund. We’re down at €53, which records an IFRS loss - book loss of €53 million in this line. And the second impact is the settlement, which we communicated before, with a large telco operator in Germany for €23 million, but had no cash impact. The net financial expenses amounted to €208 million versus €67 million in 2018. This increase is mainly coming from €50 million additional interest expenses from Syntel, from the Syntel acquisition; €54 million is related to the Optional Exchangeable Bond, which was counted as a derivative, and €27 million of lease liability due to the IFRS first-time application; and finally, some impacts of €9 million from foreign exchange effects. The tax charge, €82 million in the year, represents 18.2%. And what you can see in the next line is further to the deconsolidation of Worldline. We have actually a positive net profit. That’s our portion of the Worldline results. And equity was €47 million, which is the period since May 2019 where we held 24% of the shares, and since November, 16% of the share. As a result, the group reported net income of - from continued operations of €414 million. On the right side, I put a box to explain also these onetime effects a little bit better, overall, representing €265 million. The part related to Worldline is nonrecurring, obviously. For Syntel, the implementation costs will end in 2021, as communicated earlier. And most of the interest expenses, which you see here, are behind us due to the sale of the Worldline shares and the repayment of the loans. The adaptation plan in Germany, which we launched last year, will end in the end of 2020. And of course, the settlement with the telco operator is a onetime impact. The net income from discontinued operations, which is, of course, the treatment after distribution, amounted to nearly €3 billion and is the impact of the contribution from Worldline net result in 2019. When we come to the normalized net income, so if we take the like-for-like comparison of the net income and also the EPS that you - then you can see that the net income from continuing operations is €834 million after €803 million on a comparable basis for 2018. And you can see the EPS going from €7.57 to €7.74. Let me comment on the cash flow on the next slide. As you can see, starting from the operating margin, which you have seen before, to the OMDA of €1.8 billion after €1.2 billion in 2018, now representing 15.5% of revenue. The main impacts and the main topics on this cash flow statement, you can see €173 million related to reorganization, the rationalization and those associated costs, higher than €146 million the year before, but fully in line with the group objective, as communicated, of 1%, plus the effects of the implementation of synergies in Syntel and also the implementation of the German transformation plan, which we communicated earlier. When you look at the capital expenditures, which reduced to €324 million, representing now 2.8% of the group revenue versus 3.5% in 2018, this is due mainly to two things. One is, of course, the business mix and the change in overall CapEx and capital intensity of the group, with the growing business in Big Data & Cybersecurity and also in B&PS and less in the Infrastructure & Data Management business. But it also is an impact or a consequence of less renewals where we have about €25 million less of CapEx in the year due to the lower level of renewal in 2019. Plus, you have the effect of a stronger use and more and more use of cloud technologies for delivering our services, which also means more CapEx effectiveness. The change in working capital was €130 million for the year, and the DSO is roughly flat. So days sales outstanding at about 47 versus 46 the year before. And what’s important to note that the level of trade receivables sold with no recourse remained at the same level as 2018, and this is what we communicated also before. Tax, €99 million, is an increase versus last year, mainly to the inclusion now of the full year of Syntel. On the cost of net debt, this is also mainly due to Syntel having now a full year impact between the 2 years. Finally, on the other changes, which amounted to minus €25 million, in there, we have the onetime impact of the OEB, of the Optional Exchangeable Bond as a derivative with €37 million positive impact. And if you, therefore, restate for this €37 million, the increase of the amount is mainly due to the retirement programs in France and in Germany, but also breakup fees, as we communicated earlier, on supplier contracts in this line. As a result, free cash flow, €605 million. And important to mention that the reported cash flow in IFRS is €642 million, but we took out or are showing the €605 million without the €37 million onetime effect of the OEB as it is not an ongoing cash flow for the group. On next slide, I’d like to cover quickly the net debt development. We started the year with €2.9 billion of debt, then restated by the Worldline part of it. And then we have the strong performance in free cash flow of €605 million as a positive impact. And obviously then the impact of the disposal of the Worldline shares, which is the transaction of last year, of €700 million, which is the amount after tax and costs to perform this transaction. And then you have €75 million of acquisition and disposals which were done. You have the dividend paid. At the end, you get to a €1.7 billion net debt before the transactions in 2020. So we closed the year at €1.7 billion. As Elie was alerting to already on the cash plan for 2020, so when you look at the slide on the left side, we try to point out what are the main drivers for our operating margin improvement. So for sure, Syntel cost synergies will have a strong impact, then a continued focus on automation and AI in IDM and also in B&PS. The top line growth of BDS will contribute to a further cash flow development and profit improvement. And we have the new RACE actions and the adaptation plan in Germany which will return its - starting its investments. So you see on the bridge that we - on the operating margin, out of these five levers, we expect €40 million improvement after tax. Then you have a reduction of net provision releases. We have already a good reduction in 2019, coming down by more than €20 million from 2018, so we expect a further €10 million. Then we have the U.K. pension decrease of circa €10 million, which is due to our contribution of shares to the U.K. pension fund. It’s offset by a few increases in some other areas. Then we have the reduction of the interest expenses by €30 million, which is due to the repayment of the loans related to Syntel. And we have an adverse effect of about €10 million in our cash flow bridge for income tax, which we expect to go up due to the fact that we have now used up a tax loss carryforward, especially on the Atos SE level, which we used for the distribution - sorry, for the gains from the Worldline distribution. Therefore, we’ll not enjoy any more the application of those losses into our tax payments. And then we have €15 million of others, as you saw, this number, we are targeting to improve in 2020. So to reach with this bridge circa €700 million of cash flow. Thank you for your attention, and back to you, Elie. Thank you very much.
Elie Girard: Thank you, Uwe. So before moving to the questions, I just want to summarize here our main priorities for 2020. First, a focus on organic growth. We improved our trend in Q3 and in Q4 last year, and we want to keep this momentum. Second, pursue the program of synergies generation with Syntel. Third, with our renewed financial flexibility come back to acquisitions, bolt-on acquisitions targeted on key offerings, as well as acquisitions in cyber. And finally, succeed in 2020 our transformation to pave the way for our growth agenda. Thank you very much for your attention. And let’s now move to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Michael Briest from UBS. Please go ahead. Your line is now open. Hello Michael, your line is now open. Michael, is your line muted?
Michael Briest: Hello, sorry about that.
Operator: We can hear you now.
Michael Briest: Okay. Yes, just on - two questions from me. Firstly, on Business & Platform Solutions. I think after the Q3, you were talking about getting back to 4% to 5% growth midway through 2020. Where do you feel we are likely to see that return to growth? And also, the margin target in 2021 is 13% to 14% for that division. It seems like quite a big step-up from where we are. Can you talk about that? And more broadly, the high end of your 2021 ambition, so €900 million in free cash flow, 11.5% margins, that’s looking quite a big step-up from the 2020 base and 2019, of course. So how credible is the high end of the ambition for 2021? Thank you.
Elie Girard: Hi, Michael. So I will take those important questions. So on B&PS, I think Uwe and myself explained the way we see the situation for Q3 and Q4. We expect to go back to positive territory in the overall division by around mid of the year 2020 and to clear organic growth by year-end. So that’s the trajectory for Business & Platform Solutions’ top line. For 2021 targets that we gave in January 2019, I see today no reason to modify those targets. Now I saw the consensus which positions rather at the lower end of the ranges on the KPIs, and I believe this is reasonable.
Michael Briest: Okay. And can you just say something about the seasonality of the 2% growth this year? If B&PS is still negative in the first half, should we be thinking that growth is closer to 1% for the first half? Or would it be better than that?
Elie Girard: We don’t see any specific seasonality across the year. You are right to say that probably, Business & Platform Solutions should be lower in H1 and higher in H2. When you think of IDM, we think of IDM rather more the opposite, with H1 probably higher than H2 given the base effect of the year 2019 and seasonality within 2019 between H1 and H2. So overall, we think of the year 2020 as quite balanced between H1 and H2.
Michael Briest: Okay. Thank you very much.
Michael Briest: Thank you, Michael.
Operator: Thank you. Your next question comes from the line of Laurent Daure from Kepler. Please go ahead. Your line is now open.
Laurent Daure: Thank you. Good morning, gentlemen. The first question is on the IDM business. I was wondering at which stage of the transformation you are now between the on-prem and your current business. We had some figures about 18 months ago. So if we could have an update on that and also on a few renewals that are due for this year. And my second question is on your comments on the M&A strategy and on the cyber business. It’s been relatively quiet in 2019 in terms of M&A. Do you plan to target bolt-on M&A as well in cyber like the one you did or do you also see a couple of bigger opportunities during 2020? Thank you.
Elie Girard: So I suggest I will take maybe the last question and then Eric will answer on the transformation of IDM. Look, on BDS, I reiterate strongly our two branches, two axes of M&A. The first one, and we’ve been consistent in this for quite many quarters now, is to grow organically and inorganically, so to do acquisitions in cyber and big data. And the second one is bolt-on acquisitions in targeted offerings, especially in the new context of SPRING that I explained, the industry approach that we are implementing now. But for the first axis, it’s clearly cyber and big data acquisitions. Now I fully agree that the year 2019 has been moderate in terms of M&A activity on that front. I would say two things. One, I think you can consider now that we are roughly no debt. So I think we have renewed fully our financial flexibility. Second, these being said, we’re not going to do anything with M&A. It’s M&A, there are opportunities. Sometimes, there is no agreement on the price. The only thing I can tell you is that we are very active with the M&A team with Pierre Barnabé on screening all potential targets. And without committing on any number, as you can imagine, again, we are talking M&A, I’m quite confident that the year 2020 should be more active than in 2019 on the M&A front. Maybe, Eric, on IDM transformation, please?
Eric Grall: Yes. So on the IDM transformation, I think, in fact, very much in line with the plan we presented back in January last year in terms of evolution of the revenue mix, where we see network transition towards Hybrid Cloud, including a significant share of Hybrid Cloud into the mix, very much as we shared. So very consistent so far in 2019 execution versus the prediction. So we are so far continuing on the trajectory that we believe that we presented in January ‘19 and in which we see similar trends in the ‘19 numbers actuals. And finally, also I have to highlight an extremely positive trend on the digital workplace with - not yet translating everywhere in revenue because we had a lot of signatures also in digital upgrades in 2019. That should translate into an upward trend in that space as well in 2020.
Laurent Daure: And on the renewals?
Eric Grall: On the renewals, we have been, as Elie was mentioning, first reminding 2019, a very strong performance in renewals. All the deals above €50 million TCV were renewed. And to give more light even on all the deals above €30 million TCV, we did reach a 95% renewal rate, which is, I think, a very nice and good benchmark for our industry. We intend to pursue the same way next year, of course. And we - the main renewals are coming mostly in the second half, especially in North America. There’s no major renewal in the first half. There are more coming from the second half between state of Texas and Conduent [ph].
Laurent Daure: Okay, all right. Thank you.
Operator: Thank you. Your next question comes from the line of Stacy Pollard from JPMorgan. Please go ahead. Your line is now open.
Stacy Pollard: Hi. Thank you very much. Just two quick ones from me. Looking at the industry approach that you’re talking about, shifting to an industry approach, just to double-check, should we be modeling any associated restructuring charges? And in fact, to be honest, there are a lot of moving parts, basically, between the operating margin and operating income. Could you give us any sense of what we should be modeling for 2020 just so we kind of get our models into place? My second question would be a little bit of a follow-up to the earlier question, just on the area of Cybersecurity. Is a spinout still possible? Are you still looking around, like wrapping that into a kind of potential stand-alone business? And then what time frame?
Elie Girard: Hi, Stacy. Thank you for your questions. I see three questions, actually. I’ll take number one and number three. Uwe will take the middle one. On the first one, I’d be extremely straight and firm, the industry approach, so SPRING launch absolutely does not embed any restructuring. It’s not at all about that. Number three question, on cyber, on BDS. What is absolutely clear and determined is our willingness to grow inorganically in those activities. I already answered this question. Then the IPO that was mentioned earlier as a possibility, a modality, I would say, today is probably - is less probable. It’s less probable because the more we move forward, the more I see those activities as fully core into Atos, into the offering of Atos. The cross-selling across all customers is really fantastic, is accelerating. And I think probably that would not be the right move to IPO this activity instead of keeping it and fertilizing it all across and diffuse it all across the group and the industries. So that will be my answer on your third question, Stacy. Second question, maybe on the OM to OI, Uwe?
Uwe Stelter: Yeah. I know, Stacy, it’s a lot of pieces in between, especially around the Worldline transaction, which are more on the book side on the IFRS side. So I mean what I tried to explain is we have a total of €265 million, which I explained in that box. Of that, €200 million are actually one-time. So these are effects either through the treatment of this ABB and OEB transactions or are things which are going away. So overall, you have about €200 million which are one-offs. And if you’re in there, take about €25 million in Germany, the adaptation plan and the Syntel synergies, which would still be around, then you have about €150 million which are - should not repeat itself in 2020.
Stacy Pollard: So sorry, so sort of €100 million plus would be the net of that? Maybe I’m...
Uwe Stelter: €150 million, €150 million plus for us when you look at 200 [ph] - at 2020.
Stacy Pollard: For 2020, perfect. Thank you.
Uwe Stelter: Then another - yeah.
Stacy Pollard: No. thanks for that and Elie for your answer as well.
Elie Girard: Thank you, Stacy.
Operator: Thank you. Your next question comes from the line of Mohammed Moawalla from Goldman Sachs. Please go ahead. Your line is now open.
Mohammed Moawalla: Great. Thank you. Elie, I was wondering if you can comment on the trajectory of growth in the Big Data & Cybersecurity. Clearly, we have seen a step change in inflection. I know there are some large contract ramp-ups here. But what is a kind of more sustainable growth rate, are we talking kind of more like a mid to high teens being sustainable on an ongoing basis? And as a follow-up, given your intention to sort of keep the cyber business kind of in-house and kind of pursue more M&A, what - where do you need to - where are the gaps in the portfolio? Or where can you kind of enhance growth in terms of your capabilities there? Thank you.
Elie Girard: Hi, Mo. And thanks for your questions. So on the growth trajectory on BDS, I think you should look at the performance of end of the year in H2, half being exceptional and half being structural roughly. What I mean here is that while we were guiding you on low double-digit growth for BDS for the last years, 10%, 12%, I think the structural growth of Big Data & Cybersecurity has moved up to circa 15%, which is great and which is making this activity - this high-growth and high margin activity taking a bigger and bigger space into the core of the group, as I explained earlier. Now on your question on the acquisitions. We do have already today, in terms of technologies and capabilities, a quite wide portfolio both in cybersecurity services and products and in big data. I would say that the direction of our acquisitions would be probably more into services, extending, for example, our footprint of SOC, security operations centers, or managed security services - the famous MSSP, managed security services providers. This being said, we will not discuss any bolt-on acquisitions embedding IP and targeted technologies. But I don’t see today a large hole, gap or lack in our overall technology portfolio that we’re offering to our customers in both areas of Big Data & Cybersecurity, Mo.
Mohammed Moawalla: So essentially, more scale-up is really the goal?
Elie Girard: Exactly, exactly.
Mohammed Moawalla: Great. And then just if I could come back on B&PS. You sort of said that you’re going to be back to growth towards the back end of this year. In terms of the - what needs to happen here, I know you had talked about kind of exiting a lot of low margin contracts at Syntel. The macro environment is also obviously a little bit more difficult. What are your - what are the kind of assumptions that you sort of baked in around that kind of reacceleration of growth? Is German autos likely to still be a drag through to the year end?
Elie Girard: No. The way we see it, Mo, is probably the effects that we mentioned for the end of the year, we make the assumption that they will continue entering into the New Year, in 2020, but we see that entering into H2. That should get out of the base, as well as, as you mentioned, the cleaning of low-margin contracts that we executed at the end of H1. So there are several effects that are making us confident that in H2, we should ramp up in Business & Platform Solutions.
Mohammed Moawalla: Great. Thank you very much.
Elie Girard: Thank you, Mo.
Operator: Thank you. Your next question comes from the line of Adam Wood from Morgan Stanley. Please go ahead. Your line is now open.
Adam Wood: Hi, good morning. Thanks for taking the question. Also two for me. Maybe just first of all, on the change in go-to-market and a more industry-based model. Obviously, there’s benefits that can come from that, but there’s obviously risks as you execute it. Could you maybe just give us a little feel of the scale of the change on the ground, particularly with the account executives to the individual customers? Will there be a lot of change there that could impact sales cycles and so on? Or is that something that you’ve managed to mitigate and you think you can manage? So just a little bit of a background around that would be helpful. And maybe just following up on Mo’s question on the B&PS business. Could you give us a little bit more of a feel of how much of the weakness you feel at the moment is macro versus things that you can influence through the year, and to what extent is M&A needed to make those improvements? Thank you.
Elie Girard: Hi, Adam. So I will take those questions as well. So on your first question on the industry approach, I want to completely reassure you, this - we have designed this. So first of all, we’ve prepared this for that year. Second, this is a very progressive approach. To give you a very simple figure, we’re having at the moment roughly 2,500 colleagues changing positions out of 110,000 colleagues in the group. So they give you the size of the change, which is mostly front end and which day one can only improve the relationship with the customers because we are unifying this go-to-market and customer-fronting, customer-facing. So I’m - and this move, by the way, is extremely well received internally. All the stakeholders within the company are aligned to this. Again, that has been prepared, and this is very progressive. So I’m not expecting any disruption or whatever - whatsoever of that kind. On Business & Platform Solutions, I would answer, yes, to your first question, which is, is it macro? Yes, I mean it is macro, meaning it comes from some budget constraints or budget cycles from end customers and from our customers. Now to your second question on the topic, does it require M&A to be fixed? No, it’s not about M&A. It’s not the problem of portfolio. It’s nothing about that. It’s a bit cyclical impact that only requires from us to deliver the ramp-up back that I mentioned earlier in - all along the year 2020. But no M&A required on that front.
Adam Wood: Perfect. Thank you very much.
Elie Girard: Thank you, Adam.
Operator: Thank you. Your next question comes from the line of John King from Bank of America. Please go ahead. Your line is now open.
John King: Good morning. Thanks for taking the questions. Just two questions on the Big Data & Cybersecurity division, please. Just first one, a clarification, I think I’m right in saying that the new disclosure means that we won’t actually see the numbers regularly for the division. I’m just wondering if that’s the case and well, I guess, the thinking behind that because it’s a strategic division, as you say, and it’s performing well. And then another question on the same division around the cost structure. Obviously, I think the release talks about a - obviously, you’ve seen a very strong 18% revenue increase and a 6% staff increase. The margins are only flat. So I guess just in thinking about that, is it fair to say there’s a level of - or I guess what’s the gap there in terms of the growing cost that’s offset the - what otherwise, I suppose, we wouldn’t see on operating leverage in the business? Thank you.
Elie Girard: John, may I ask you to clarify a little bit your second question? I’m not sure to get it. Sorry about that.
John King: Yeah. I thought I saw somewhere that there was a 6% staff increase in Big Data & Cybersecurity, and the revenue increase is much more than that, so - and yet the margins are flat. So I guess what I’m asking what’s offset? What otherwise, I guess, would be operating leverage?
Elie Girard: Understood. So Uwe will answer the second question. I take the first one. So on the divisions, what I said earlier is that to make sure that you are not lost in the numbers, while we are moving the reporting into the industries, we will keep for a while the reporting for the divisions, okay, including BDS. But after a while, we will publish only industries and regional business units. We can give - we will be able to give color on what we sell and the offerings, et cetera, and therefore, sort of the practices for the former divisions. But we do not intend to continue publishing after a while three dimensions in all details. I think that would not be anyway a market practice. From an operational point of view, because this also translates and primarily translates the way we operate, the idea is to have the divisions, so therefore, the practices or the centers of excellence to feed, to fuel the industries. And this is what the market is asking for. You do not cyber protect an IT infrastructure of a bank the same way you do it for factories and the same for a retail company. So we have to work for all divisions, including in cybersecurity, even in high-performance computers, to adapt our offerings to the customers to the industries, and that is all what SPRING, what this transformation is about. Uwe, can you take the second question, please?
Uwe Stelter: Yeah. On your question, John, around the increase in personnel versus their overall growth. So of course, big data and securities, I would say, from a people cost perspective, is about 50%, 60% of the cost. The rest are, of course, other costs. So we are not only increasing, of course, the headcount. Secondly, we also have investment in, I would say, software and other things where we leverage very much, on the one hand side, the existing portfolio and the existing R&D, on the other side, we are also expanding into new geographies where we are leveraging the Atos workforce which is existing in those geographies. So I would say a mix between the people costs are only a portion of the overall cost, and we still keep the high margin as it is currently and improve it a little bit from where we are currently.
John King: Okay. Thank you.
Elie Girard: Thanks, John.
Operator: Thank you. And your next question comes from the line of Neil Steer from Redburn. Please go ahead. Your line is now open.
Neil Steer: Hi. Thanks very much. Most of my questions have been asked already, but just two quick ones. On the last point on Big Data & Cybersecurity, is it fair to assume that a very significant part of the second half revenue growth was actually due to hardware sale? Was hardware sort of a meaningfully larger than normal in that division in the second half of the year?
Elie Girard: Hi, Neil. I would say it’s two things. It’s the HPC. So within the hardware, it’s especially that. I mean, first of all, everything grew very fast. Now if you want the fastest ones, it’s the HPC, high-performance computers, and the cyber services. Okay?
Neil Steer: Yes. Okay. I think that answers that question. And just going back to an earlier question. I’m not sure I understood Uwe’s answer. But to be clear, can you give us for 2020 the reorganization, the rationalization and the integration costs that you would expect in the P&L?
Elie Girard: Uwe?
Uwe Stelter: Yeah. So similar to 2019, we have the 1%, right, 1% of revenue, plus you have the Germany transformation plan of €25 million and still the Syntel, €30 million. So that’s with us also in 2020, those two elements, so 1% plus the two elements.
Neil Steer: So the 1% plus those two elements, they remain in 2020?
Uwe Stelter: Correct. Correct.
Neil Steer: Okay. Thank you.
Elie Girard: Which was communicated many times before, and there is no change on this. Thank you, Neil.
Neil Steer: Thank you.
Operator: Thank you. Your next question comes from the line of Alex Tout from Deutsche Bank. Please go ahead. Your line is now open.
Alex Tout: Yeah, hi. Morning, guys. Thanks for taking the question. Just firstly, you talked about previously the rise of Edge infrastructure, the IoT, the kind of beyond the cloud era. Is that a meaningful proportion of IDM revenue at this point? What do you see happening there? Is that an opportunity that starts to develop more in 2020? And then secondly, within IDM, I guess, at this point, you’re probably reselling a reasonable amount of private cloud - of public cloud, sorry, so particularly with the Google partnership. Can you give us an idea of how large that might be within the IDM revenue mix at this point, and how does the operating margin of public cloud compare to your traditional IDM business? Thanks.
Elie Girard: Hi, Alex. So Eric will answer. Just to correct a little bit the terminology because that doesn’t correspond to the reality. We’re not reselling public cloud. We are integrating public cloud in our architectures. We are orchestrating public cloud together with private cloud, and sometimes, steel [ph] pieces of on-premise. So this is what we are doing because, of course, that will indirectly answer on your question on the margin. Eric, can you give a more comprehensive answer to Alex? Thank you.
Eric Grall: Yeah, sure. Sure. Alex, so first question on Edge and IoT, we have seen effectively our revenue positively evolving year-over-year, 2019 versus 2018, in the IoT space with a lot of new projects starting to go to life. As usual and as we explained also back in January 2019 when we projected the - how we see slowly but surely between ‘19 and ‘21 the IoT revenue evolving for IDM, we are pretty much in line with that. But we see the, really, the ramp-up, the significant ramp-up of IoT and associated activities more in the year ‘23, ‘25, in line with the convergence of a number of factors on the market that I don’t have time to comment. But later on, I can comment in more detail should you wish to go deeper into that. But bottom line for IoT, yes, growth in revenue this year and in line with the trajectory we shared for the 3-year plan for 2021. Second question, on IDM. So effectively, the partnership with Google continues to be successful from our perspective. We reach over - or close to 12,000 of certified engineers on Google which put us, I think, on the prime position of any single integrator or a partner that they have across the world. So we stay number one, as we speak, in terms of number of engineers certified. But you need to keep in mind that this is not only for IDM business. What we do with Google, of course, as activities related to IDM, as we help customers to migrate out of legacy infrastructure to a mix of private and public cloud, and the mix that we see has not - it’s also fairly consistent so far with what we shared with you roughly at this stage for companies, 70% private, 30% public. But we have also a lot of certification around artificial intelligence and machine learning, and that’s part of the accelerated growth. We expect to see step-by-step also helping B&PS on the other side of the house. So the certification are touching both ends and the business developing very nicely with Google.
Alex Tout: Thank you, Eric.
Eric Grall: Thank you, Alex.
Operator: Thank you. And your final question comes from the line of Sven Merkt from Barclays. Please go ahead. Your line is now open.
Sven Merkt: Good morning. Thank you for taking my question. First, maybe on the Microsoft Azure collaboration for SAP customer. This could clearly become a very large opportunity for you. Could you give us an idea what kind of win rate you expect for this kind of deals? And what kind of incremental revenue contribution we should expect? And then secondly, we discussed in the past how much your working capital depends on the collections in the last couple of days in December. Has there been any noteworthy amount that was paid earlier or later, and we should, therefore, take into consideration for this year? And maybe related to this, you’re guiding to a really precise free cash flow number. What is your margin of uncertainty around this? Thank you.
Elie Girard: So the first question, Eric, can you take in the Microsoft deals? And Uwe, I guess, you will take the cash flow ones. Eric?
Eric Grall: So thank you for the first question because I think it’s important, effectively, to remind everybody that we work with all hyperscalers. So we have an excellent and strategic relationship we launched with Google. But also, we work a lot with both Microsoft and AWS. And the announcement we published related to our SAP collaboration effectively relates to the fact that we see a growing momentum among our customers to start migrating part of their workloads, SAP workloads towards public cloud, and Microsoft having also there a very significant position, also fueled by the announcements they made previously between SAP and Azure, Azure Microsoft. So that has been, of course, an important dimension of the partnership, and we effectively expect to accelerate our growth in that space. That could also fuel further technology opportunities for us.
Elie Girard: Uwe? Thank you, Eric.
Uwe Stelter: On the cash flow, the two questions, so one was around any special payment, whatever, absolutely normal lending. And of course, as I said, around the factoring at the same level as 2018, so also no impact out of that. Around - your question around the 2020 projection. I mean we choose to - of course, there’s always kind of a range of uncertainties until you have the payments, but we feel much more confident now having delivered 2019 to also give more a circa number instead of just a wide range. So therefore, our confidence is a bit higher in that direction.
Sven Merkt: Great. Thank you.
Elie Girard: Thank you. Thank you very much. And I think we have no more questions. And before closing, again, you are very warmly invited on the 22nd of April to our Analyst Day in Paris. So I hope to see you there. Thank you very much, and see you soon.
Operator: That does conclude our conference for today. Thank you for participating. You may all now disconnect. Thank you.